Operator: Good day ladies and gentlemen. And welcome to the First Quarter 2008 Media General Earnings Conference Call. My name is Katie, and I will be your coordinator for today. At this time, all participants are in a listen-only mode. After the speaker remarks you will be facilitated a question-and-answer session towards the end of this conference. (Operator Instructions). I would like to now turn the call over to your host for today Ms. Lou Anne Nabhan, Vice President. Ma’am you may proceed.
Lou Anne Nabhan: Thank you Katie and good morning everyone. We would like to welcome you to Media General’s conference call and webcast. Earlier today, we announced first quarter 2008 results and March revenues. Both press releases have been posted to our Web site. The comments from today’s conference call will be posted immediately following the call. Today’s presentation does contain forward-looking statements, which are subject to various risks and uncertainties. They should be understood in the context of the company’s publicly available reports filed with the SEC. Media General’s future performance could differ materially from its current expectations. Let me now introduce Marshall Morton, president and chief executive officer of Media General.
Marshall Morton: Thank you, Lou Anne, and good morning everybody. Our first quarter results were in line with the guidance we provided on March 20. A loss from continuing operations of $9.8 million, or $0.44 per diluted share, reflected continued weak revenue results, principally in the Publishing Division, underscoring the significant impact of the recession-battered Florida market. In the first quarter, we also booked an after-tax, non-cash loss of $0.47 s from Discontinued Operations. This amount was primarily related to the sale of our ABC station in Lexington, Kentucky, including allocated goodwill, which was announced on March 7. We expect this loss to be largely offset by an anticipated gain later in the year on the sale of our Jacksonville, Florida, CW station, which is progressing. Of course, GAAP requires losses to be booked immediately while gains are not recognized until a transaction is completed. The sales of all five stations are expected to generate total proceeds of $100 to $105 million, which will be used to further reduce debt by $60 to $65 million after paying estimated taxes. On March 31, which was the first day of our second quarter of 2008, we completed the sale of our interest in SP Newsprint. We received proceeds of approximately $58 million from the transaction and used the funds to reduce debt. After clearing transaction-related items, most notably paying taxes in the latter half of 2008, the net reduction in debt should be approximately $38 million. We accrued a non-cash book loss on the sale in our fourth-quarter of 2007 results and we do not expect the final loss, which is subject to a 60-day post-closing working capital settlement to be significantly different from that amount, resulting in limited impact on operating results in ‘08. We are pleased that the sale eliminates the earnings volatility we experienced in recent years from this equity investment. More importantly, we can now focus entirely on our core business as a communications company. Interest expense in the first quarter of $12.3 million was $2.7 million lower than last year’s first quarter due mainly to lower interest rates but also aided by lower average debt levels. Interest expense in the second quarter of 2008 is expected to be approximately $10.5 million, resulting from lower debt outstanding and lower interest rates. We expect interest expense for the full year to be approximately $43 million, compared with $60 million in ‘07, as a result of our delevering plan and lower interest rates. Now let’s look at divisional results in the first quarter. Publishing Division revenues decreased 16.7% compared with the prior year, driven most significantly by lower Classified advertising but also by decreased Retail and National advertising revenues. Publishing Division profit declined 56.4%. The Tampa market had an outsized impact on these results. To illustrate the magnitude of the impact of Florida publishing operations, if you were to exclude the results of our Tampa publishing operations for the quarter, the division’s revenue decline would have been less than 10% and profit would have decreased by approximately 24% in lieu of the 56.4% stated. To further illustrate the impact of Florida, let’s look at the revenue results for the first quarter in the various states in which we operate. Publishing revenues in Florida were down 30%. In contrast, revenues for our Virginia publishing properties declined 11%. Our revenues in North Carolina decreased 7.3%. In the other states where we operate, namely Alabama and South Carolina, publishing revenues in the first quarter were down 4.6%. Publishing Division expenses in the quarter decreased 9.5%, excluding last year’s severance costs, driven mostly by savings from lower salaries, benefits, newsprint consumption, and discretionary spending. These expense reductions, however, could only begin to offset the revenue shortfalls attributable to the deep recession in Florida. At our Tampa publishing operations, we believe a major portion of the revenue losses we have been experiencing are attributable to cyclical trends. However, it is difficult to predict when the market will turn positive again, and, when it does, how much of the lost revenues will come back. Accordingly, we have been acting aggressively to align our expenses in Tampa with the current business environment. Among other steps, we have outsourced circulation customer service and telemarketing, eliminated distribution to certain outlying markets, made changes to the width and content of the paper to reduce newsprint consumption, and completed an end-to-end review of the production and distribution processes that is resulting in the closure of three distribution centers in 2008. Unfortunately, all of that is not enough. On Monday of this week, we announced a voluntary staff reduction program in Tampa. This program is one piece of our earlier announced cost reduction targets that we expect to achieve this year. Approximately one-half of the employees in Tampa are eligible to consider the opportunity – that’s out of a workforce there of approximately 1,300, and of course we expect far fewer than the number offered will actually accept. I’ve asked Reid to provide a report on the several ways we are changing how we address the Tampa market. The most significant change is to operate Tampa as one market, a fully-converged operation, if you will, that now reports directly to Reid. I’ll now ask Reid to give you his report.
Reid Ashe: Thank you, Marshall. Let me start by saying that Florida has suffered real estate driven busts before, and it has always recovered. While we’re still awaiting signs of recovery, we’re confident that it will come. The fundamentals – good weather and the looming retirement of baby boomers are just are too powerful to defeat. In the meantime, we’re cutting costs, combining operations and developing new business lines to replace the faltering old ones. Last year in Tampa, we cut $8.2 million in costs on an ongoing basis and eliminated 200 positions through the reorganization, outsourcing and streamlining measures that Marshall mentioned. Our Florida Communications Group, which produces all of our product offerings for the Tampa market, generated $14 million in revenue from new products, including commercial printing, launched in the past five years, and products launched in 2007 alone represented more than half of those new revenues. We’re using the unique advantages of media convergence both to cut costs and to sharpen our effectiveness. Throughout this decade, we’ve exploited our combination to share content, cooperate in projects, and sell across multiple media. Our original intention was not to cut costs, though. It was to enlarge our audience and revenue. And on that score we’ve succeeded. Our Tampa Bay media reach nearly 80% of the adults in the market every week and we claim the largest share of the market’s local advertising revenue. We thought it was important though to preserve the organizational integrity of our individual media. Each was successful in its own field and we didn’t want to endanger them. After several years’ experience, and facing recessionary pressures, we’re combining resources now to cut costs across the operation. We now have a single executive overseeing sales in all media, another overseeing content, another marketing, another operations, and another administration. Below them, we’re wringing out redundancies and coordinating operations more deeply than ever. We’re transforming our Tampa operation from three organizations operating in concert into a single one with a single mission. The earliest results are reflected in Internet traffic. A combined “continuous news desk” now breaks news as soon as it happens, usually on the Internet. For the month of March versus prior year, TBO.com pages views were up 32%, and unique visitors were up 46% from the previous year, largely as a result of continuous news. It’s been gratifying to find that when we cover a big story on the Internet, it only intensifies people’s interest in our traditional media. Our business-development efforts are designed to reach deeper into neighborhoods and communities of interest and to expand our base of advertisers. We’ve relaunched our weekly newspapers folding content from The Tampa Tribune’s zoned sections into them. We’ve added sections of people news and built out reader-participation functions using the Internet. We’ve created a growing array of specialty publications. We’re expanding our services for mobile devices, a category that’s growing rapidly in sales. And we’ve secured a position as the local media sponsor in all three media for the 2009 Super Bowl. This will be a significant revenue opportunity for us especially since the game will be broadcast this year on WFLA. Today we’re stripping down to survive the hard times. With the structural changes we’ve made, we’re positioned to do that more effectively than ever did before. When conditions improve, we’ll choose carefully where we add back. We’ll invest in activities that produce results for customers and shareholders and not necessarily in the activities we’ve cut. Nobody is pretending this is a pleasant experience, but we believe we will emerge stronger for it. And now I’ll turn it back to Marshall.
Marshall Morton: Thank you, Reid. Before leaving our discussion of the Publishing Division, let me add that all of our newspapers continue to make significant efforts to reduce newsprint consumption, which is demonstrated, in part, by the 18% decline in newsprint consumption we realized in the first quarter of '08. While some of this decline is occurring because of lower advertising linage and circulation volumes, even larger savings are coming from other initiatives. In many of our newspaper we have re-designed or combined sections to make more efficient use of newsprint and to better meet reader needs. We have also eliminated some content that readers have indicated provides limited value to them. In 2007, we completed the conversion of all of our newspapers to 48 inch web-widths and we continue to make strides in reducing waste from both production and returns. Several of our newspapers are looking at a web-width reduction to 44 inches. Some of our newspapers those with newer presses could make changes early. Older presses, however, require significant capital investments to make the conversion, so it could be some time before we can fully implement further web-width reductions. Let’s turn now to the Broadcast Division. First quarter broadcast profit was nominally ahead of last year. Total time sales for the quarter declined as a result of lower Local and National advertising revenues, which more than offset an increase in Political advertising. Political revenues of $4.4 million compared with $336 thousand in last year’s first quarter, and primarily reflected Presidential, U.S. Congressional and gubernatorial spending in South Carolina, Florida, Ohio, Rhode Island and Mississippi. Local time sales in the quarter declined 4.4% and mostly reflected lower spending in the furniture, fast food and automotive advertising categories. National time sales were down 14.6% and mostly reflected lower spending in the automotive and entertainment advertising categories. Broadcast expenses decreased 1.4%. The savings were achieved mostly from lower spending for discretionary categories, such as marketing, research and travel. Payroll expense increased only 1.5%, primarily the result of keeping open positions unfilled. In the first quarter, we signed a few cable retransmission agreements that do provide compensation for our stations. This relatively new revenue opportunity comes about as the result of similar fees now being paid by the satellite companies and more recently, by Verizon for its new fiber optic service, a development which has changed the competitive landscape for the cable companies. In past negotiations, we were successful in obtaining full carriage for our secondary channels and as well as some lucrative promotional trades. In current contract negotiations, we are aggressively pursuing the retransmission fees. Many of our cable contracts expire on December 31st of this year and others expire in ‘09, while a few run into 2011. We expect to begin negotiations with some of these systems later this year. We look forward to the return of the Summer Olympics on our NBC stations and expect related advertising revenues to be $13 to $14 million. This fall we expect significant Political advertising revenues, and we expect to generate approximately $40 million for the year as a whole. Ohio, Florida and Virginia are expected to be particularly strong states for Presidential campaign spending, and North Carolina should see strong spending on state-level races. Let’s now look at the Interactive Media Division. In the first quarter, we reported a $2.7 million loss. Revenues were down 3.3%, mostly due to lower classified advertising revenues, which resulted from the effect of the economic slowdown on print advertising volumes which, as you know, feed upsells to our web sites. Also in the quarter, results from our Blockdot advergaming business were not as strong as they were in last year’s first quarter, but that performance seems to be related to timing issues. Blockdot showed strong rebound in March and increased its pipeline of incoming projects. Several positive indicators in the quarter included growth in online National advertising revenues, higher online Local advertising revenues, and increased sales from our Yahoo Hot Jobs partnership. Revenue generated as a result of the Yahoo initiative in the quarter was $1.6 million. Perhaps most importantly, our web traffic continues to grow, driven in large part, we believe, by our new Web First initiative that we are aggressively pursuing in all of our newsrooms. For the first quarter, page views and visitor sessions rose 12.6% and 23.2%, respectively. We’re pleased to now own the online coupon and shopping site, DealTaker.com. The social component of this service is very strong. Users can find not only terrific shopping deals from thousands of retailers, they can also engage with like-minded bargain hunters in comparing notes about products and experiences. We look for DealTaker.com to be a significant cash-flow contributor in the years to come. This business brings to Media General an entirely new revenue stream, commissions from sales rather than advertising dollars. From Day 1, we have been heavily promoting it on all of our web sites, and we are pleased with the initial response. Next, I’d like to briefly discuss capital expenditures, which in the first quarter were approximately $8 million, compared with $19.5 million in the first quarter of last year. Of that amount, the Publishing Division invested $5.5 million, mainly on necessary upgrades to printing equipment in Richmond and Winston-Salem. We started up our new printing facility in Lynchburg, Virginia during the quarter and look forward to many future benefits from this new operation. The Broadcast Division spent approximately $1 million, mainly for the final phases of construction for its new Myrtle Beach facility, for high-definition production systems at our Birmingham station and for our new Central Graphics operation. Interactive Media Division and corporate expenditures were approximately $640,000, primarily for information technology. In addition to redeploying the proceeds from asset sales, we are using operating cash to repay debt and using less cash for capital spending this year, compared to the past few years. As part of the aggressive expense management initiatives currently underway, we have reduced our capital spending plan for 2008 from the original $45 million to $25 million. That decrease is exclusive of any equipment replacement related to last year’s Richmond Times-Dispatch press fire. Much of this spending is scheduled for later this year. Debt at the end of the first quarter was $875 million, down from $898 million at the end of 2007. Debt outstanding today is $854 million, which reflects the redeployment of proceeds from the sale of SP Newsprint. Looking ahead, in addition to the Publishing Division expense reductions of an additional $10 million in 2008 that we announced in February, we are acting on an additional $15 to $18 million in performance improvement actions across the company. As I stated earlier, the Tampa voluntary separation program announced Monday is part of this amount. Employees have until April 25 to decide if they are going to accept the offer and then we will know what our next steps are. Severance for the Tampa reduction will be expensed in the second quarter. Any severance expense booked would be offset by the associated lower costs all within 2008. Before we open it up for questions, I’d like to comment briefly on recent developments in our shareholder vote for directors at next week’s annual meeting. All three proxy advisory firms made their recommendations this week. Glass Lewis recommended withhold votes for two of Harbinger’s nominees and ISS recommended a withhold vote for one of Harbinger’s nominees. Proxy Governance recommended a vote for all of the company’s nominees, Chuck Davis, Walter Williams and Rod Smolla. Proxy Governance also stated in its conclusion yesterday, “we have significant questions whether the dissident slate, including one heavily overboarded nominee would have sufficient time or experience to effect change without significant and counterproductive disruption”. We were disappointed to receive word from GAMCO, Mario Gabelli’s firm and our largest holder of A shares, that it has decided to tilt toward the Harbinger slate, as they put it. We have always welcomed input from Mario and his team, and we carefully consider what they have to say. In our continuing discussions with Gamco in the days ahead, we look forward to discussing our continuing belief that neither the Harbinger slate nor the Harbinger prescription is likely to result in our shared objective of building value for all Media General shareholders. As we’ve said many times, any underperformance of Media General relative to some of our industry peers is largely attributable to the deep recession in Florida, which has had a devastating impact on the performance of our Tampa operations. We therefore believe that the proposed removal of three of our most experienced and valuable directors, and their replacement by three individuals whose qualifications, experience, and long-term commitment to Media General are questionable, would be an unfortunate outcome. We are acting aggressively on several fronts to transform our business to the new consumer reality as quickly as humanly possible. We are executing on a strong and effective Web First strategy that focuses on breaking news online as it happens, as well as providing the full range and depth of local information people are seeking on the Internet. Our delevering plan provides $100 million for debt reduction this year. And, as we’ve announced previously, we are implementing plans to permanently reduce operating expense structure by $25 to $28 million this year, and we’ve scaled back our capital spending plans from $45 million to $25 million for the year. Without repeating all of the reasons why we oppose the Harbinger slate and the Harbinger prescription, and as you know, we’ve set forth those reasons in the two letters we’ve sent to our stockholders and also filed with the SEC, I will say that if one or more members of the Harbinger slate are in fact elected to our Board of Directors, they will constitute a minority of the Board. So, to conclude my comments on this matter for now, we strongly urge Media General shareholders to vote for our slate, which we believe is clearly in the long-term best interest of the company and all of its shareholders. That concludes our report. In addition to Reid and me, John Schauss is here as well, and we will now be pleased to take your questions.
Operator: (Operator Instructions). I am showing your first question comes from the line of David Clarke from Deutsche Bank. Please proceed.
David Clarke: Thank you good morning.
Marshall Morton: Hi David.
David Clarke: Circulation revenue was down about 6% in March, and I think it was down about 5% in January and February.  I guess a bit more about why you’re seeing accelerating decline in circulation revenue, as it relate to the economic trouble in Florida. And then also has that happened in past recession?
Marshall Morton: Reid, I thank you our better perspective on that against past recession and fluorescence you were there?
Reid Ashe: There is a couple of factors play there, one is that we have got note of some third party circulation you know, essentially in cost cutting move and also to clean up our circulation limited to that which is most especially for the advertisers. And also, during February and March we slowed down our subscription sales operation in a cost cutting move we feel tough that’s only we could survived for a couple of months but we are back in the field this month selling subscriptions again. So, yes, first quarter circulation did take a larger jump than normal.
David Clarke: Okay. And then what has newspaper sales force turnover been like over the last year.  I mean as the economy is weakened and we have seen these large drops in revenue for both you guys and other newspaper companies, has it been hard to attain sales talent. Has the turnover accelerated noticeably, and have you had to change the compensation structure as a result in order to retain salesmen?
Marshall Morton: We have not noticed an increase in turnover now. That is an interesting angle. Our compensation is very heavily based on commission as opposed to any fixed component and so, it intends salesmen to move. We of course try to put revenue growth, so the more salesmen we have go on the field, the better.
David Clarke: Okay and I guess just one final question, how is TV pacing so far in the second quarter?
Marshall Morton: How is TV pacing so far in the …?
David Clarke: Yeah, have you seen a change in trend, you know in April and the May book relative to what (inaudible).
Reid Ashe: We are seeing some weakening in national advertising just about every where and we see that sentence applies not only to us but also to other broadcasters that our rep firms deal with.
David Clarke: Okay, thank you.
Reid Ashe: Thank you.
Operator: Your next question comes from the line of Richard Tullo from Sidoti.  Please proceed.
Richard Tullo: Yes, hello first question, how much did you pay for DealTaker.com? What kind of EBITDA can we expect from this asset?  You say it accretive to EPS, is that be accretive in 2008, 2009, and 2010, you know what.
Marshall Morton: Its accretive immediately, I mean, our expectation is accretive immediately. And based on the first two weeks' performance since we have owned it, it’s measuring strong against pro forma. We have not released the sale price Rich, but …
Richard Tullo: You know, it is so great, why not release the sale price and…
Marshall Morton: We bought it from somebody else and as a part of the deal they wanted to keep things quiet. So as time passes I think it is going to be easy enough for you to figure out what we have paid for. I think we announced today an ROI at the time we told you we were buying DealTaker but we are not, but -- it has stronger ROI and strong margins, it was profitable and is profitable now.
Richard Tullo: Would you say that you are better off with DealTaker than taking that money, whether it maybe paying down the debt?
Marshall Morton: Yes.
Richard Tullo: All right.
Marshall Morton: Not only because it’s accretive to profit, but because of the audience that brings – it brings audience to …
Richard Tullo: No, I am just worried about profits. Audience is something that, you know, we can decide later on.
Marshall Morton: Okay.  I am telling you, why it has value to us on several fronts.  But it’s profitable immediately to us.
Richard Tullo: And how much did you spend on the free newspapers, the new publication from the Tampa market in the first quarter and will that kind of spending continue as the year progresses?
Reid Ashe: We don't have a breakout on, at least not handy on expenses per business less.
Marshall Morton: By free newspapers you mean free distribution?
Richard Tullo: By publications like the women's magazine that you publish weekly or whatever you counted the last conference call?
Marshall Morton: Right.
Richard Tullo: And some other initiatives that you said we’re going to kind of help on the sales line which obviously did not happen?
Marshall Morton: You are talking about Skirt, I think.  Skirt is in the Tampa market for the first time in the month of April. We have had it in Richmond for several months, it’s profitable and it will be profitable in Tampa. It’s profitable in Birmingham. So, I am not sure what your question is about, how much did we spend on it.
Richard Tullo: My question is related to definition of profitability. Is it generating revenue at what expense and, I mean, yeah, it’s great that you say it’s profitable but obviously this quarter's result did not indicate that anything you are doing in publishing is profitable?
Marshall Morton: Well, first of all I just told you that Skirt it started in April so that would not be in this quarter.
Richard Tullo: Alright.
Marshall Morton: And we have a lot of new revenue initiatives in Tampa which are in fact positive and profitable that are offsetting the decline that we talked about in the older products. Reid talked about replacing following product lines with new product lines and that's what we are doing. Skirt would certainly be one of the initiatives that fall from that category Rich.
Richard Tullo: Okay. So if the new product lines are accretive with Tampa, what would have the decline in Tampa been had you not released new products?
Marshall Morton: We don’t have that number with us.
Richard Tullo: Thank you.
Operator: (Operator Instructions). Your next question comes from the line of Edward Atorino from Benchmark.  Please proceed.
Edward Atorino: Hi, are your pacings numbers, does that include political or nonpolitical?
Reid Ashe: When I answered the question, earlier, I was talking about national advertising which we consider exclusively political.
Edward Atorino: And any guess on political for the second quarter compared with the 4 million in the first quarter.
Reid Ashe: We have a projection, I don't have it in front of me yet, but given when the primaries fall, John just signaling me about $3 million.
Edward Atorino: Okay.
Reid Ashe: It should be less because we don't have as many primaries in the second quarter.
Edward Atorino: Right, and getting back to the new publication stuff, can you just sort of talk, I know there is a lot going on in Richmond, what type of programs are being done at Winston Salem, let say in Tampa that would parallel the Richmond efforts?
Reid Ashe: In Winston we are doing city books. As an example, we have started one in Greensboro and we already have one in Winston Salem and they are both very successful using existing staff and copy that is produced by that staff. In Tampa we’ve got, I think we have talked about some of this before but we are also doing video. We’ve got a television show that we’ve produced down there, that’s indicated, two television shows that I can think of on top of my head that is indicated one is fishing, and one is a variety show, morning variety show. We are also doing several publications that are distributed with our weekly newspapers.
Edward Atorino: Is the quantity of stuff that is new in Richmond applicable to all the other markets or is…?
John Schauss: Yeah, you know, we used Richmond or Tampa as the laboratory and then moved in to other markets with them. And you know Tampa started out that way are Hispanic-oriented publication. It moved to Richmond and Northern Virginia. We are doing a lot more mobile work too. The idea is to get to the audience with products that typically play off all the time.
Edward Atorino: If you look at Richmond, what percent of the revenue the add  revenue base or how do you want to count it comes from these new products and could that be applicable in the other markets as well?
Unidentified Company Representative: For the publishing division as a whole, the new revenue number is around 8.
John Schauss: They may hit 10% this year.
Unidentified Company Representative: Okay.  It is well over 8 I think but they are headed to 10.
Edward Atorino: Of the total division?
John Schauss: Excuse me I am sorry?
Edward Atorino: Of the division?
John Schauss: The division right, but I can't tell you Richmond specifically.  I do not happen to know the numbers for publishing.
Edward Atorino: Okay got you.  Okay Lou, thanks.
John Schauss: Thank you.
Operator: Your next question comes from the line of John Kornreich from Sandler Capital.  Please proceed.
John Kornreich: Marshall, I just have two quickies.
Marshall Morton: Okay.
John Kornreich: One by one, maybe I missed it, but what are you doing about the expense structure if anything in the broadcast division?
Marshall Morton: John, you want to talk about the expense on the broadcast division?
John Schauss: Well broadcast division this year is looking at improving their profit projections by about $7 million over what they initially budgeted and came into the year. A majority of that is cost containment and expense reduction as well.
John Kornreich: Including headcount reduction?
John Schauss: That is correct, right.
John Kornreich: Over in the publishing side, when you talked about the offered retirement program, voluntary retirement program, is that just for Tampa or the whole newspaper division?
John Schauss: The voluntary force reduction is in Tampa.
John Kornreich: Okay.
John Schauss: And we have already had some staffing reductions down there but there are headcount reductions going on throughout the company that we had announced this Monday. The amount that the voluntary reduction enforce and thought it made enough news that you all might want to hear about specifically if you run about another one.
John Kornreich: Okay.
John Schauss: So every corporate department, every area in the company is reducing staff.
John Kornreich: Assuming a kind of a middle ground reasonable acceptance of the voluntary retirement program, I have two questions, what would the headcount be down by in the entire newspaper division, mid year `08 versus mid year lets say `07, and what would that leave the entire expense structure, the cash expense structure down from its `07 tick?
Marshall Morton: I think well we better do some research on that. In the next month’s revenue release we will put it out to everybody.
John Kornreich: That’s fine.
Marshall Morton: I think it’s a question we can get -- we can get an answer to it by enough time.
John Kornreich: Okay. So I would like to get a headcount reduction kind of year-over-year, when that’s all settle down, and also the cash expense structure you know, it is down now 10% from what it was a year ago that’s where we are going forward, that would be helpful?
Marshall Morton: Okay.
John Kornreich: But I won’t even followup that you’re going to put it in the next release.
Marshall Morton: We will put in the next release.
John Kornreich: Thanks a lot.
Marshall Morton: Thank you. Operator We have a followup question from Richard Tullo from Sidoti. Please proceed.
Richard Tullo: Yes, a good time for question. If you could possibly give us some kind of comparison also on headcount as it is following the reduction to 2001, and I think that was helpful on kind of what it will agelessly, but it looks like revenue is adding to 2001 level is well published. My other question is in relation to the lifestyle, you said that there was a push out, can you describe the nature of the push out in a little bit more detail how much revenue can we expect for internet to be boosted by at this Q2, the revenue guidance is probably expected for the first quarter?
John Schauss: What we talked about was the pipeline with filling out that is an accelerated rate, and the first quarter it did seem to have some slowness in the first two months of it, but it came in very strong and large. I am not quite sure I understand the full scope for your question on.
Richard Tullo: When you said the pipeline is filling up in the first quarter, well this could be open in the second quarter?
Marshall Morton: You was talking about what we build, what we build more strongly in the second quarter?
Richard Tullo: Yes.
Marshall Morton: Yes.
Richard Tullo: And is there a number associated with that right now?
Marshall Morton: We haven’t put one out.
Richard Tullo: Okay, thank you.
Operator: Your next question comes from the line of Karen Dubey (Ph) from (Inaudible) Capital. Please proceed.
Unidentified Analyst: Marshall.
Marshall Morton: Yes, Karen how are you?
Unidentified Analyst: How are you dong?
Marshall Morton: Good.
Unidentified Analyst: Marshall, I have a quick question this is, pretty much might be premature. But, I would like to ask you how you guys plan on – no body knows actually the eventual result of the nomination for the board, but let the Harbinger end up winning the three slates. Do you guys have a contingent plan how you guys going to look like?
Marshall Morton: Well, if they are elected Directors, we will work with them.
Unidentified Analyst: Despite the fact that the minorities meeting, I mean, I was in the meeting like last week, but I just like to get the sense of management and how would you projecting on working with these guys?
Marshall Morton: Well.
Unidentified Analyst: If they get elected, if they don’t get elected then.
Marshall Morton: I understand. Well, I mean, we still hold people by nature I – the point I was making and I have made it before is that the, the two class structure of our stock has always intended that the three shareholder have the prevailing voice on strategic matters. And our measure issues happen to be strategic and I – we don’t agree with the approaches that they’ve taken, and we said that, and Harbinger understands that. But that doesn’t mean they won’t happen to say meaning the three that you’re talking about if elected wouldn’t have their opportunity of stakeholders on their mind at meeting. Of course, we would list them.
Unidentified Analyst: Okay, fine, that’s it from me.
Marshall Morton: Okay, thanks Karen.
Operator: Your next question comes from the line of (Dave Wolfe) from ELK Partners. Please proceed.
Dave Wolfe: Hi I am just curious if you can talk about the valuation that you’re getting on at the best data broadcast station?
Marshall Morton: We can't.  We are happy with the proceeds, I mean, with the contracts. And they are selling in the area that we had originally anticipated and have projected and you heard us talk about the expected proceed within the frame of the scripted portion of the call. But getting to the multiple, we are not in a position to do that right now.
Unidentified Analyst: Okay. Thank you.
Company Representative: Thank you.
Operator: We have another follow-up from the line of Richard Tullo from Sidoti.  Please proceed.
Richard Tullo: Yes hi.  In the Tampa market are you seeing any pickup in either financial advertising or perhaps, I guess not exactly real estate advertising, but some of these assets that are looking to do proportionate sales of market?
John Schauss: Reid.
Reid Ashe: Well the best thing I can tell you about Tampa is that the flat that is slowing a little bit, unfortunately it has stopped. There has been some first year some improvement in home sales that might largely closures, I don’t know, and the specific nature of the advertisers we are getting there I can't tell you without super search.
Richard Tullo: Okay. And just a followup to that on a elided kind of a avenue. What is Media General doing to retract, I would guess, would you call non-traditional newspaper and broadcast advertisers to your assets in Tampa?
Marshall Morton: Well, couple of things. First of all, training salesmen in new ways to go after business, and - but the second line, I think its very important one is creating new products that give advertisers a more targeted method of talking to their customers. The smaller advertisers particularly who never considered us to be their best resource for that kind of conversation, we now see its going straight to the customers they want to talk with. So it opens up a whole array of new customers. And I mentioned earlier we’re very heavily weighted to commission on our sales so that it gets the sales men out of the office and end of the advertisers’ place the business to get the business.
Richard Tullo: And probably speaking, what does the opportunity look like, I mean, it is 20% of the advertisers that in the market not advertising with your publications, is it much larger?
Marshall Morton: Much larger. But of course, the big advertisers do advertise with it. So we are talking about smaller business question. The number I am most familiar with is enrichment for the 30,000 consumer facing businesses and roughly 3 to 4000 from our customers.  And so, our role is to find new product and we’re dong it. New products and get the advertisers, non-advertisers to come into our product.
Richard Tullo: And all these smaller local advertisers traditionally coming at a higher margin or lower margin and would you expect that vis-à-vis a national advertisers?
Marshall Morton: Well, that would be a lower margin.
Richard Tullo: Okay.
Operator: You next question comes from the line of David Clarke from Deutsche Bank.  Please proceed.
David Clarke: Thank you. Just a quick one on the Yahoo collaboration, what's the timetable now for moving your three larger papers on the Yahoo at management platform, will that be completed by the end of the third quarter?  Thank you.
Marshall Morton: Yeah, I mean, if not David, within this year I think we are done with the three (Inaudible). Is that right?
John Schauss: Marshall I think so, I would have to check that to be sure, we can move and get back to you on that.
David Clarke: Okay. Thank you.
Operator: At this time, I am sure you have no further question.  So I would like to now turn the call back over to management for closing remarks.
Marshall Morton: Thank you Katie, and thank you everybody for your attention today. We will follow-up in our next earnings release with John Kornreich’s question and don’t hesitate to call if you have questions on your own. Thanks again.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation and you may now disconnect.  Have a wonderful day.